Operator: Thank you for standing by, ladies and gentlemen and welcome to Dynagas LNG Partners Conference Call on the First Quarter 2018 Financial Results. We have with us Mr. Tony Lauritzen, Chief Executive Officer; and Mr. Michael Gregos, Chief Financial Officer of the Company. At this time, all participants are in a listen-only mode. [Operator Instructions] I must advise you that this conference is being recorded today. And at this time, I would like to read the Safe Harbor statement. This conference call and the slide presentation of the webcast contain certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties which may affect Dynagas LNG Partners' business prospects and results of operations. Such risks are more fully disclosed in Dynagas LNG Partners filings with the Securities and Exchange Commission. And now I shall pass the floor to Mr. Lauritzen. Please go ahead, sir.
Tony Lauritzen: Good morning, everyone and thank you for joining us in our first quarter ended 31 March 2018 earnings conference call. I am joined today by our CFO, Michael Gregos. We have issued a press release announcing our results for the same period. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures, as well as a discussion of why we believe this information to be useful in our press release. Turning to slide three, to the benefits of the partnerships with the purchase options on Clean Ocean and Clean Planet two ice class 1A vessels owned by our sponsor was extended from March 31 through December 2018. On April 12, 2018, we announced the plan to reduce the quarterly distribution on the partnerships common units to $0.25 from $0.4225. The reduction took effect on May 3, 2018 up on the payment of the common unit distributions with respect to the first quarter of 2018. This decision by our Board of Directors to reduce to level of the partnership’s quarterly common unit distribution was necessary to align the partnership’s distribution level with his capacity to generate cash flow in the long term, despite some material increase in the partnerships, estimate the revenue contract and backlog over the last two years. We have experienced a decrease in operating cash flow and the weakened distribution coverage ratio following our shifts to longer term charters for the employment of our LNG carriers, which provide us with greater cash flow visibility of a lower charter rates that provide attractive returns of capital. As the partnerships shorter period of time charter contracts as peak charter rates have expired or are approaching expiration. We have capitalized on our managers operational track record and the versatility of the ice class designated LNG carriers in our fleet to secure long term employment contracts. Our adjusted EBITDA for the period was reported at 26.6 million with corresponding adjusted income of 7.2 million. The partnership reported a net income of 4.8 million and distributable cash flow was reported at 11.3 million. Quarterly cash distribution for the first quarter of 2018 of $0.25 per common unit was paid on the 3 May, 2018. The partnership also paid on 14 May, 2018, a cash distribution of $0.5625 for each of its Series A preferred units for the period from February 12, 2018 to 11 May 2018. Distributions on the Series A preferred units will be payable quarterly on the 12th day of February, May August, November at an equivalent of $0.5625 per unit provided the same as declared by the partnerships Board of Directors. I will now turn the presentation over to Michael who will provide you with further comments to the financial results.
Michael Gregos: Thank you Tony. Moving on to slide four, the results of the quarter were within our expectations. We are pleased with our operating performance for the quarter with utilization at 100% and vessel daily operating expenses of $11,741 per day. For the quarter or average gross time charter hire on a cash basis, amount of the $66,300 per day per vessel, whereas our cash breakeven including our distributions to preferred and common unitholders amounted to about $59,000 per day. Moving on to slide five, in this slide we see the progress of our distributable cash flow since we went public. This slide provides the rationale for the 41% quarterly distribution realignment to $0.25 per common unit or $1 on an annualized basis, which we announced on April 18. As you can see from Q1, 2014 until Q3, 2017, the orange line representing distributable cash flow was consistently higher than the Blue Line representing our quarterly distribution to common unitholders. And as a result, we had a distribution coverage consistently above one. Subsequently, as Tony -- as advised by Tony our distribution coverage declined as previous legacy shorter term contracts at peak charter rates were replaced with longer term contracts which were concluded at lower, but still attractive rates as a consequence of both their longer term duration and market conditions at the time they were entered into. The distribution reduction was a necessary move in order to address the misalignment between cash generated by our fleet and the cash paid out our common unitholders. Moving onto slide six, the realigned cash distribution has minimized the impact of tapping into our existing cash balance in order to fund distribution and results and annual cash savings of 24.5 million. The aligned distribution provides for greater stability and sustainability. We do find it noteworthy that certain analysts commented that a higher distribution reduction was necessary. The board and the management felt it would be unwarranted for the new distribution to be based on overly pessimistic scenarios. Management does not believe in for the limited moving parts that can affect our financial performance. Ultimately, distribution policy reflects the boards and management expectations and is not based on scenarios which are unlikely to materialize. The moving parts for 2018 and 2019 are; how long and at what rate? The Yenisei River and the Lena River will be trading in the short term market, pending the delivery into their 15-year contracts, once their contracts expire in Q3 of this year. The Yamal traders currently have wide delivery windows, which will be narrowed, the closer we get to the delivery in accordance with their contracts. The aligned distribution also enhances our credit profile in the view over the planned refinancing of our unsecured note, and also has improved our cash distribution yield although not to levels we would like to see before we will consider to issue equity. Moving onto slide seven, for the quarter our distributable cash flow available to common unitholders was 11.3 million and is paid 9 million in cash distributions to our common unit holders resulting in a distribution coverage ratio of 1.08 times. For the quarter we had a cash coverage of 1.42 times with cash coverage representing adjusted EBITDA less interest loan principal and preferred equity dividends divided by the actual distributions to common unitholders. This is the first time we were referring to the cash coverage ratio, which we believe is a useful metric in addition to distributable cash flow since it’s an indicator of actual operating cash flow generated. Please note that basis the current fleet and loan profile, the cash coverage ratio will be higher than the distribution coverage ratio, since annual replacement and maintenance reserve amount to 16 million whereas annual principal payment amount to 5 million. Some forward guidance for 2018, our distribution coverage will be impacted by three dry dockings we have to undergo in Q2, Q3 and Q4 of this year and the short term market exposure we will have with respect to the Yenisei River and Lena River. Specifically, the Arctic Aurora has commenced to a dry dock which is expected to be completed within this month and is entering her new three year Statoil contract shortly after she completes her dry docking. The Yenisei River is expected to be redelivered from Gazprom end of July, and we'll perform her five year special survey in dry dock immediately thereafter. Once her dry dock is completed in August, the vessel will trade in the short term market, pending her delivery to the Yamal 15 year time charter, which is expected between 1 January and 30 June, 2019. The Lena River dry dock will take place end of September upon expiring for current Gazprom time charter, similar to the Yenisei River, the Lena River will trade in the short term market pending her delivery to the Yamal 15 year time charter, which is expected between 1 July, 2019 and 30 June, 2020. The total dry dock course in aggregate for the year is expected to be 10.5 million with an aggregate of 65 off higher days for all three ships. As a result for 2018 on a steady state basis, we expect the distribution and cash coverage ratios to remain below one. However, the partnership has adequate liquidity to cover any shortfall and fund the current distribution. Moving onto slide eight, in this slide we highlight the basic economics of our drop down candidates. We have previously stated that the Arc-4 dropdown wholly owned by the sponsor, have debt financing attached to them which can be transferred to the partnership with average annual debt service of approximately 19 million to 20 million per vessel, and the EBITDA generated from the Yamal long term contracts is about $22 million. We have previously guided two drop downs this year on the premise that the dropdowns are accretive to both distributable cash flows and actual operating cash flow. Currently, this is not the case on the back of our current equity distribution deals and the increase in short term interest rates, which has increased debt service significantly for the Arc-4 dropdown fleet. With respect to these vessels, time is on our side, as all things being equal, it is better for the partnership to wait, allowing for the debt to amortize at the sponsor level and for the vessels to deliver into the 15 year Yamal time charters. As far as the five Arc-7 LNG carriers, which our sponsor owns 49%, two are delivered and are currently trading. Moving onto slide nine, we have a long term profitable charter backlog which supports our capital structure. As of today, our net debt to capitalization stands at 64.5% and we ended that quarter at around 6.5 times net debt to last 12 months EBITDA. Our cash position for the quarter amounted to 61 million. Our next step maturity is a 250 million senior unsecured notes which matures and October 19. We expect the refinancing of our unsecured note will take place with a similar unsecured note. The bond refinance will allow us to focus on growth and provide the catalyst which can improve our cost of capital in order to be able to grow in a sustainable manner. That wraps it up from my side. I pass over the presentation to Tony.
Tony Lauritzen: Thank you, Michael. Let's move onto slide 10, to summarize the partnerships current profile. Our fleet currently accounts 6 high specification and versatile LNG carriers with an average age of about 7.8 years in an industry we're expected to useful, lifetime is 35 years. We have a diversified customer base with substantial LNG companies, namely Gazprom, Statoil, Petrochina and Yamal LNG, which latter is a joint venture between Total, CNPC, Novatek, and the Silk Road Fund. Our contract backlog is about $1.46 billion and our average remaining charter period is about 10.2 years which compares very well versus our peers. Our vessels have also served customers such as Shell, Qatargas, RasGas, Marubeni, Woodside, coal gas CPC, North West Shelf and several other major oil and gas companies. We therefore have a large customer base that we are able to contract with. Moving on to slide 11. Our fleet of LNG carriers are largely fixed on long-term charters with strong and reputable LNG companies. Drivers for our charters were the characteristics of the fleet including its ice class notations and our organization’s track record. After employing the clean LNG to Petrochina and extending the Artic Aurora to Statoil, we only have limited availability going forward in 2018 and onwards, we are 85% contracted in 2018, 92% in 2019 and 100% in 2020. Assuming that, the Yenisei and Lena River will enter their longterm charters at the earliest stage in their delivery windows. We are now pursuing opportunities for the availability that we have in 2018, given that we believe the market is on an improving trend. Let's move to slide 12, our sponsor Dynagas Holding owns a fleet of 9 LNG carriers which are all on long-term contracts. Four of those LNG carriers are fully Arc-4 type of those four carriers the Clean Ocean is chartered to Cheniere until 2020 and will thereafter deliver to Yamal LNG for a 15-year charter. The three sister vessels, Clean Planet, Clean Horizon and Clean Vision are currently employed in the cool pool, a pool equally owned by Dynagas, GasLog and Golar which is the world’s largest provider of short-term tonnage. From first half of 2019, these three vessels will deliver to Yamal LNG for minimum 15 years employment each. Their original delivery window was full calendar 2019 and Yamal have narrowed down the window to the earliest possible date. The remaining five LNG carriers are Arc-7 type and are 49% owned by our sponsor and 25.5% each by Sinotrans and China LNG Shipping, two state-owned Chinese entities. Two of these vessels have been delivered from the yard and into the contract and the other three vessels are under construction in Korea. All of the vessels are chartered to Yamal LNG for between 26 and 28 year contracts each. All vessels on the water and in the order book fully financed and funded. The nine vessels have contracts in place amounting to a multibillion dollar contract backlog. These optional vessels are dropdown candidates to the partnership. Let's move to slide 13. We have a unique fleet, 5 out of the 6 vessels in our fleet have ice class 1A notation. The fleet can handle conventional LNG shipping as well as operate in ice bound and subzero areas. This means that we are able to and have been successful in pursuing business opportunities in two different markets, namely conventional shipping and a unique market for icebound trade. The initial capital expenditure for an ice class vessel is somewhat more expensive than conventional carriers. However, the operating costs between our ice class type carriers and conventional carriers are very similar. The company together with our sponsor has a market share of 75% for vessels with Arc-4 or equivalent ice class notation. There are only 3 other LNG carriers in the world with equivalent notation which to our knowledge are chartered out long-term. We view the ability to trade in icebound areas an important advantage due to the current and ongoing construction of LNG producing terminals within icebound areas and in particular the northern sea route. Yamal LNG has recently commenced production. We also expect further projects to developed in that region. We view the ability to perform niche operations as an important driver in securing attractive long term charters going forward. Further to that, our fleet is optimized for terminal compatibility which is of significant importance in a market that is changing from a fixed route trade to worldwide trade. And the fleet consists of groups of sister vessels that provides for overall relative better economics and efficiencies. Moving on to slide 15. In summary, we are experiencing substantial growth of LNG production from new LNG projects primarily in U.S., Russia and Australia. The world LNG carrier fleet appears too small to carry those additional volumes in the long-term and there are too many small and old technology vessels. There appears to be sufficient demand for the new LNG from existing and new importers with floating regasification projects accelerating demand. The LNG shipping market is maturing with increased fixture activity, increasing LNG production and a growing LNG carrier fleets. The current LNG world fleet and the order book including FSRUs and FSUs totals about 598 vessels. The order book counting 101 vessels is about 20% of the world fleet. Although 50% of the world fleet is steam driven as much as 30% of the world fleet is below 140,000 cubic meters and aged. We expect that most of these undersized and aged vessels will fade out of market and be replaced with larger with larger and younger tonnage in the long term. 71% of the order has been committed for employment. However, we have seen some speculative ordering activity lately that has added to the order book according to the order book and most new builds will be delivered during 2018 and 2019, which is also a period we expect increase in additional LNG production. There are only very few yards in the world that have the experience and capability to build such vessels and if one were to order today, our guess is that yards would be able to offer tonnage for delivery in second or third quarter of 2020 at the earliest. Moving on to slide 16, we are now in a period with strong growth in LNG production. LNG production grew by 22% during the last five years and is estimated to grow by 20% within the next three years and 42% within 2022. We expect to see imminent production increases from Australia, U.S. and Russia. It is likely that the Far East will remain the largest buyers going forward, in particular with growing imports to China, driven by coal to gas switch. We also believe that we will continue to see the emergence of new niche markets in areas such as South Asia, Africa, Middle East, South America, where you believe large volumes would be imported by FSIUs. We believe that there are sufficient buyers for this new LNG to be absorbed. The majority of new LNG export volumes have sale agreements or off-take agreements in place and we believe that existing import markets will continue to increasingly rely on LNG as a price competitive and clean LNG resource. Moving on to slide 17. In the first quarter of 2018 LNG production was up 11% compared to first quarter of 2017. As expected in particular, Australia and the U.S. have been the largest incremental producers so far. The trend is expected to continue with existing projects such as Gorgon [ph], PFLNG, Wheatstone, Sabine Pass and Yamal LNG ramping up capacity and new projects such as Cove Point, Yamal LNG Train 2, Cameron LNG, Elba, Wheatstone Train 2, Ichthys and Prelude being added. In March 2017, the industry saw the first cargo being produced by a floating LNG terminal namely the PFLNG Satu and in may 2018 Golar's FLNG Hilli producing first cargo, giving confidence to the FLNG technology. Let's move to slide 18. The Far East is still the largest consumer of LNG and demand is growing. The Far East demand is fueled by recovery in Japan and Korea, and China's push to replace coal with gas for power generation. The largest incremental importers of LNG in Q1 2018 came from the Far East led by China, Japan and South Korea. While Japan and Korean have long been relying on LNG as an energy resource, China completed its first LNG import terminal in 2008 and today have 13 completed terminals and 10 under construction. Growth in Chinese LNG imports have averaged 17% per annum in the five last years. And China is now the second largest importer of LNG behind Japan and we expect a need for LNG into China to continue to grow going forward. Lets move to slide 19. With the U.S. projected to become one of the world's largest exporters of LNG, it is important to monitor where those volumes are being shipped so far. And based on shipping volumes in 2017, 9% of the volumes went to South America, 24% to Central America including Caribs, 16% to Europe including Turkey, 37% to the Far East, 11% to the Middle East and 3% to India and Pakistan. Analysis indicates that the Sabine Pass requires about 1.76 vessels for every million ton LNG produced. At full production, we expect Sabine Pass to produce 27 million tons per annum over 6 trains. This means that one would require about 47 vessels fully utilized per annum to serve this terminal alone. If we conservatively estimate that the U.S. exports will produce 69 million tons of LNG per annum within 2021, U.S. volumes may require about 121 vessels alone, that is about 24% of the current world fleet. Let's move to slide 20. When we analyze LNG export volumes from the United States during first Q2, 2018 we have seen a major shift from 2017, driven winter demand 63% of all U.S. volumes went to the Far East with Korea and China being the largest buyers. Analysis of shipping for first quarter 2018 suggests that two vessels are required every ton produced -- for every million ton produced from Sabine Pass on an annualized basis. Let's move to slide 21. In the year 2000, 2% of all LNG were sold spots. In 2015, after years of substantial international investments in LNG infrastructure, this number had increased to 37%. We see a steady increase in spots and short-term fixture. And 2016 and 2017 spot fixtures accounted for 89% and 91% of all fixtures respectively. Going forward it is assumed that the spot shipping market will be substantial and therefore we believe that niche operators in general will be better suited to conclude longer term deals. Moving to slide 22. So in summary, when we compare LNG supply through LNG shipping capacity available from now and forward, we remain confident that the market outlook for shipping looks favorable. The growth in LNG production set that above 40 % within 2022 is estimated to outpace increase in LNG shipping capacity of set at 20% within the same period. A large portion of new LNG will be delivered already within 2019; meaning, we should expect the period ramping up to that point and subsequent years to result in an improved and increasingly health shipping market. We are a pure play LNG shipping company that offers long term visible cash flows generated by fixed rate contract in which charterers has to pay whether they use the vessels or not. Additionally, the partnerships fleet is largely ice class and winterized enabling the flexibility to pursue the best of two different markets which has proven to be a strong advantage so far in securing long term charters. We have now reached the end of the presentation and I now open the floor for questions.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Randy Givens from Jefferies. If you could please ask your question.
Q - Randy Givens: Thanks operator. Yeah. So now that the distribution is more aligned with the suitable cash flow, do you feel like this current level is pretty easily sustainable in the coming quarters and years? And then more importantly, do you expect to be able to increase the distribution back to that minimum quarterly distribution of $36.60 after the Yenisei River and Lena River charters with Yamal commence next year?
Michael Gregos: Yeah, definitely. What we wanted to achieve was this alignment. And as for the foreseeable future this distribution, as I mentioned before is sustainable. Basically the expectations that we have on the market, there are some moving parts as I mentioned, which are the Lena River and Yenisei River. Again how long they're going to be in this sport market and what they’ll make. But under a reasonable scenarios; yes, definitely this distribution is sustainable. Now I think it's a bit too early to discuss distribution increases at this particular stage. Our focus is more on sustaining the current distribution and refinancing our unsecured notes.
Randy Givens: Okay, that's fair. And then you mentioned the delivery windows for the Yenisei and Lena River, what determines when that was actually get delivered, that kind of a decision you make or is that Yamal’s decision? How did that work?
Tony Lauritzen: Well, its a decision that a charter will make, when it's pretty normal to have a narrowing down window given new project. So basically the way that he works with that, some sometime in advance we receive the notice which is narrowing down the window. So it's difficult to say exactly what Yamal will do going forward, but what we have seen so far with the Yenisei River is that they have narrowed down the window to the earliest possible days so far. So whereas, the original window was the full calendar 2019 for the Yenisei, it is now first half of 2019.
Randy Givens: Okay. Excellent. I guess just last one for me. When do you expect to refinance that 250 million senior unsecured note. Would that be a 2018 event or are waiting till the first half of 2019 and it's doing not until October of ‘19.
Michael Gregos: Yeah, I would say it’s -- we believe it's going to be a 2018 event.
Randy Givens: Okay. Excellent. Tony, Michael, thanks so much. 
Michael Gregos: Thank you very much.
Operator: Your next question comes from the line of Fotis Giannakoulis at Morgan Stanley. If you could please ask your question.
Fotis Giannakoulis : Yes. Hi guys. And thank you for the opportunity. I want to follow up about the concern about the some of the analyst have raised about distributable cash flow during this period until the Yamal charters begin. Is there a way that you can give us that this distribution the $0.25 per quarter, can be at least below a certain level. What is the breakeven point that might put -- for these two vessels that might put your current distribution at any risk, if any?
Tony Lauritzen: Well, that's a good question Fotis. When we make a decision on the distribution, you don't base it on, overly optimistic or overly pessimistic scenario. We all know where the market is. We all know what expectations are for the market? So all I can is that it's based on expectations which are reasonable. We're not counting on extreme events in either case.
Fotis Giannakoulis: Is that a way that you can tell us what could be an extreme event that would force you to reduce this distribution based on the development of the spot charter rate Yamal for these vessels?
Tony Lauritzen: No, there isn't. I can tell you. There's no specific number I can tell you because it's not just, what was portray, it's various other parameters also. But, I think when you're trying to say give me a number, its not so simple. All I can say is that, we experience let's say extreme scenarios, which we're not, we don't believe its going to happen. Then that's something to be discussed, but that's more of a longer term discussion. It's not a near term discussion.
Fotis Giannakoulis:
A - Michael Gregos: It's going to be as similar bond to the one that we already have. So another unsecured bond is most likely going to be used to refinance the unsecured note within this year.
Fotis Giannakoulis: Okay, perfect. And can you get moving a little bit on the dropdown, the potential drop down? So you have a very long pipeline over vessels with long term charters. The question is, how you think that you can finance this dropdowns given the underperformance of the stock? Are there any thoughts about alternatives that we can facilitate as dropdowns? And what would be the potential timing of a certain event?
Tony Lauritzen: Fotis that’s another good question. As I said, we are going to focus on refinancing our unsecured notes. As you said the, there were quite a few analysts who would rate this as an issue and once that is done we will be able to focus on growing the company and dropping down. And hopefully the refinancing will, reduce our cost of capital. So we will be able to consider dropping down vessel. So it's dropping down is not our immediate priority. It's the refinancing of the notes.
Fotis Giannakoulis: Okay, perfect. Tony, I want to move a little bit on the market. The developments, oil increased significantly since last time we spoke. I'm wondering whether you see more activity on the -- from the customer side, from the buyer's side to sign volumes – to sign SPAs, long term SPAs? And if you see any momentum on signing SPAs on oil, on and we have link the volume – on U.S. gas linked volume?
Tony Lauritzen: Thank you, Fotis. Maybe I can answer that question indirectly because, we don't sell the gas side. So when it comes to the actual underlying SPAs you know, we not first call for that. So, but what we do see is that, I mean, back to the presentation we said that in 2017 we saw above 30% of all U.S. volumes going to the Far East. In Q1 and the earlier part of Q1 for covering the winter market, we saw actually more than a 60% of U.S. volumes going to the Far East. So it's a tremendous shift. So we believe that, now with the oil price, but where it is now, it creates a very good opportunity for sales into the Far East at good prices. And we are really seeing a flurry of a shorter term charters, so like 6 to 12 months starting from relatively prompt up to the back end of this year to cover this the winter period. And quite some time into 2019. So right now, starting from let's say a 10 days ago, two weeks ago or so, there is a lot of activity in the market.
Fotis Giannakoulis: Thank you Tony. I want to ask you about the way that the shipping market is developing, given the facts about the -- we have seen a significant growth of LNG – on the global LNG market. But these growth primarily coming, in the last few months from a growth in the spot volume, which I assume that also have an impact on the availability of long term contracts for ships. If volume is sold sport, I would assume that also ships are being chartering the spot market. Is there any shift in this market that, you will have eventually in the next few years to charter your vessels only and the short term contracts. And I'm not talking about this specialized project like the Yamal project, that they require vessels, ice class vessels. I'm talking about the majority of the projects. And how would that affect the required rate of return when you do projects? And if you can give me an idea, what would be the rate that you would need to get in order to make an acquisition?
Tony Lauritzen: Yeah, thank you. So well, to start with your first question, yes, there is the transition from longer term charters to shorter term charters that are going, let's say, in the same path as the development of the LNG spot market. So today, I think that the LNG spot market, so the amounts of spot sales versus long term sales are much larger than the spot shipping markets. I mean what we see is that, a lot of big portfolio player, they are very active in the commodity and the spot market of the commodity, but they use their shipping portfolio to trade around this. But that being said, yes there is dependency to shorter term charters just in general. If we put this in the big picture, then of course if we go back two decades, you would have all this 20, 30 years deals and these are not so common anymore. And now you see deals for new bills being between 5 and 10 years and sometimes occasionally beyond that. So that is why we believe that it is important to offer something that is beyond just the conventional shipping which is what we do. We offer this to trading icebound in harsh environments and we believe it is prudent going forward to offer something that your peers cannot offer. 
Fotis Giannakoulis: Thank you very much, Tony. Thank you Michael.
Tony Lauritzen: Yeah, I mean to be honest, we haven't taken a view on what would be the required return for acquiring know vessels that would be on the short term market. I mean, for example we, I mean we wouldn't do that. The end of the peak, the partnership wouldn't engage at this time in vessels that would not have long term cash producing contracts on them. We would rather look to find assets that are more in general in the infrastructure asset environment. And it doesn't necessarily have to be appear LNG carrier and tried to find opportunities down that path.
Fotis Giannakoulis: Thank you, Tony. Thank you, Michael.
Operator: There are no further questions at this time. Please continue.
Tony Lauritzen: Well, we would like to thank you for your time for today and we look forward to speaking to you on our next call. Thank you very much. 